Operator: Good day, and thank you for standing by. Welcome to the Teknova First Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Ms. Sara Michelmore. Ms. Michelmore, the floor is yours.
Sara Michelmore: Great. Thank you, operator. I want to welcome everyone to Teknova's First Quarter 2022 Earnings Conference Call. On today's call, Stephen Gunstream, Teknova's President and Chief Executive Officer will provide business highlights and updates followed by Matt Lowell, Teknova's Chief Financial Officer, who will review financial results and provide an update on the company's 2022 outlook. After we conclude the prepared remarks, we will be happy to take your questions. As a reminder, the forward-looking statements that we make during this call, including those regarding business goals and expectations for the financial performance of the company are subject to risks and uncertainties that may cause actual events or results to differ. Additional information concerning these risk factors is including in the press release the company issued earlier today and they are more fully described in the company's various filings with the SEC. Today's comments reflect the company's current views, which could change as a result of new information, future events or other factors, and the company does not obligate or commit itself to update these forward-looking statements, except as required by law. Additionally, the company's management believes that GAAP results -- in addition to GAAP results, non-GAAP financial measures can provide meaningful insight on evaluating the company's financial performance and the effectiveness of its business strategies. During this call, we will therefore use non-GAAP financial measures of certain of our results. Reconciliations of GAAP to non-GAAP financial measures are included in the press release that was issued this afternoon, which is also posted to Teknova's website and at the SEC website. Non-GAAP financial measures should always be considered only as a supplement to and not a substitute for or superior to financial measures prepared in accordance with GAAP. The non-GAAP financial measures in this presentation may differ from similarly named non-GAAP financial measures used by other companies. Please be advised that the company has posted a supplemental slide deck to accompany today's prepared remarks, which can be accessed on the IR section of Teknova's website and on today's webcast. And with that, I'll turn the call over to Stephen.
Stephen Gunstream: Thank you, Sara. Good afternoon, and thank you, everyone for joining us for our first quarter earnings call. Teknova is a leading provider of critical reagents that accelerate the introduction of drug therapies, novel vaccines and molecular diagnostics. We manufacture high-quality customer agents with short turnaround times and are positioned to scale with our customers as they advance their products from discovery to commercialization. This is best exemplified in cell and gene therapy, where there is a significant need for custom-made reagents and volumes less than 1,000 liters. Our ability to rapidly manufacture custom clinical-grade bioprocessing solutions enables our cell and gene therapy customers to reduce the time from discovery to clinical impact. Our interactions with current and potential customers continue to validate the growing need for high-quality custom research and clinical grade solutions across the industry, and we are investing aggressively to meet the demand. As part of this investment, we are building the depth and breadth of our team across all functional areas, bringing talent to Teknova remains a top priority in 2022 as we execute on our long-term strategic initiatives. Our organization has grown significantly over the past year, and I want to thank all of our associates whose dedication has been and will continue to be critical to our success. Q1 was a strong start to the year as we posted record total quarterly revenue of $11.1 million and made meaningful progress against our strategic priorities. Underlying order demand was strong in both our Lab Essentials and Clinical Solutions business lines, and we are on track to deliver at least 30% revenue growth for the full-year 2022, excluding Sample Transport. In Lab Essentials, we continue to see strong demand for our catalog and custom products as well as increase in the number of active customers and average revenue per active customer on a trailing 12-month basis. We remain confident in our 25% full-year growth target for Lab Essentials. Clinical Solutions revenue was very strong in the quarter as we delivered a number of large orders. We continue to grow Clinical Solutions customer base and now expect to deliver at least 60% revenue growth for the full-year. We also made meaningful progress on our investment priorities. First, we made investments to enhance our existing capacity and advanced construction on our new state-of-the-art facility in Hollister, California. This facility is on track to be operational by the end of 2022 and will provide the capacity to manufacture products worth approximately $150 million in revenue annually. Second, we continue to build our organization by bringing in talent across the company that will help ensure our near and long-term success. This included new personnel in R&D, sales, marketing, finance, quality and operations. 2022 is our second year into the company's aggressive investment plan that will strengthen the foundation for our future growth. We remain focused on the following priorities: First, to deliver revenue between $45 million and $48 million, a growth rate of greater than 30% at the midpoint, excluding Sample Transport; second, to increase our current production capacity and bring our new manufacturing facility online by year-end; third, to build out our commercial and marketing teams and associated capabilities to drive demand before our new facility opens; and lastly, to develop new products to improve efficiency and cell and gene therapy bioproduction. Overall, we are pleased with our performance in the quarter and the progress we've made against our long-term strategic plan. I will now hand the call over to Matt for a discussion of the financials.
Matthew Lowell: Thanks, Stephen, and good afternoon, everyone. We delivered strong results for the first quarter of 2022. Total revenue was $11.1 million for the first quarter of 2022, a 23% increase from $9.1 million in the first quarter of 2021. And when Sample Transport is excluded, an increase of 37% to $11.1 million in the first quarter of 2022 compared to $8.2 million in the first quarter of 2021. On a trailing 12-month basis, excluding Sample Transport revenue, total revenue increased 32%. Given our small overall revenue base and the potential for large orders to drive some variability in our growth rates, we believe trailing 12 months revenue growth is a useful additional metric to track our growth. By way of reminder, Teknova launched the Sample Transport product in the latter part of 2020 to address the urgent need for COVID-19 tests, and the product is no longer marketed by the company. Lab Essentials products are targeted at the Research Use Only or RUO market and include both catalog and custom products. Lab Essentials revenue was $7.0 million in the first quarter, a 3% increase from $6.8 million in the first quarter of 2021 and a 20% increase on a trailing 12-month basis. As our custom order business continues to grow, we will see some quarter-to-quarter revenue fluctuation given the relative size and timing of shipment for those orders compared to catalog products. We continue to expect approximately 25% growth in this business for the full-year. Clinical Solutions products are made according to Good Manufacturing Practices, or GMP, quality standards and are primarily used by customers in the clinical development or commercial release phase of a therapy or diagnostic. Our Clinical Solutions revenue was $3.8 million in the first quarter, a 256% increase from $1.1 million in the first quarter of 2021 and an 80% increase on a trailing 12-months basis. Revenue was very strong in the quarter as we delivered a number of large orders during the quarter. We now expect at least 60% revenue growth in our Clinical Solutions business for the full-year. Gross profit for the first quarter of 2022 was $5.3 million compared to $5.0 million in the first quarter of 2021. Gross margin was 48.0% of revenue in the first quarter which is down from 55.4% of revenue in the first quarter of 2021. The lower gross margin reflects higher costs associated with expected investments the company is making in its current manufacturing capacity and capabilities to support long-term growth. Operating expenses for the first quarter of 2022 were $11.2 million, compared to $5.9 million in the first quarter of 2021. Operating expenses increased as we continue to invest in the people critical to our near and long-term success, including the addition of key members to the R&D, sales and marketing, finance, quality and operations teams. As of March 31, 2022, the company had 272 associates, up 15% from December 31, 2021. We also had substantial new costs in the first quarter of 2022 compared to the first quarter of 2021 associated with operating as a public company and meeting applicable requirements. Net loss for the first quarter of 2022 was $5.5 million or $0.20 per diluted share compared to net loss of $0.7 million or $0.18 per diluted share for the first quarter of 2021. Adjusted EBITDA, a non-GAAP measure was negative $4.3 million for the first quarter of 2022 compared to breakeven for the first quarter of 2021. Capital expenditure in the first quarter was $5.9 million compared to $3.9 million in the first quarter of 2021. The majority of spend in the first quarter went towards our new facility. We also continue to make investments in our current production facilities. We are committed to building capacity ahead of the demand curve to ensure our customers are able to receive their custom products in weeks instead of months. Free cash flow, a non-GAAP measure, which we define as cash provided by or used in operating activities, less purchases of property, plant and equipment, in the first quarter was negative $11.1 million compared to negative $1.5 million in the first quarter of 2021. This decrease compared to the prior-year period was primarily due to lower adjusted EBITDA and a significant increase in capital expenditures. Turning to the balance sheet. As of March 31, 2022, we had $76.5 million in cash and cash equivalents and $12.0 million in gross debt. In May 2022, we amended our existing credit facility to increase the amount available under our credit facility by $30 million to $57 million. This new financing helps ensure we will have the capital to execute our domestic organic growth plan. Turning to our 2022 revenue guidance and outlook. Strong first quarter results give us the confidence to raise the low end of the full-year 2022 revenue outlook. Our new revenue guidance is $45 million to $48 million. At the midpoint, this guidance assumes revenue growth of greater than 30% as compared to 2021, excluding Sample Transport. With respect to product categories, we continue to expect Lab Essentials revenue growth of approximately 25% compared to 2021 and Clinical Solutions revenue growth of at least 60% compared to 2021. While we have not provided and are not giving specific guidance on our expected spend, I will reiterate that 2022 will be another year of aggressive investment as we strengthened the foundation for our future growth plans. We will continue to invest in capacity expansion and across marketing, sales, G&A and R&D. This will also be another year of significant capital investments in fixed assets as we expect to fund the balance of the cost of our new facility and make other investments in current facilities in 2022. With that, I'll turn the call back to Stephen.
Stephen Gunstream: Thanks, Matt. Overall, we are pleased with our first quarter 2022 performance and the progress we have made against our strategic priorities. We will now take your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Matt Larew of William Blair. Your line is open.
Matthew Larew: Hey good morning guys. I wanted to first ask about sort of customer behavior sentiment amid the market backdrop and softness in funding environment, you sit fairly upstreaming in some cases with your Lab Essentials business and obviously has more room with a lot of early stage biotech companies with your GMP business. So just curious over the past couple of months, what you've seen either from a forward-looking ordering behavior or any rationalization of pipeline? Just be great to hear how this constant guide.
Stephen Gunstream: Great, thanks, Matt. So I think start just by saying that we do not see any slowdown in the order demand. So we're still seeing the growth that we expect. And in fact, we're seeing quite a bit of interest in our custom and our GMP products. And there's nothing in that pipeline that I think that allows us to think that, that's going to change in the near-term.
Matthew Larew: Loud and clear. Second would be just on the Clinical Solutions side. You mentioned a couple of larger orders coming in. Curious if those were anticipated or maybe got pulled forward? And then anything you can give us just in terms of the growth of the active customer base and anything on the cell and gene therapy side to help us kind of frame out where the strength in the quarter came from?
Matthew Lowell: Yes. Maybe I'll just take that one first, Matt. Yes. I mean at this point in time, given the size of our business, particularly in the Clinical Solutions, we'll see orders across a variety of different levels. We have some customers that are just starting with us that are ordering in a smaller quantity. And then we have customers that have been with us for a while that may be ordering a larger quantity. So I would just say that these are natural order patterns. There are fluctuations and in this case of Q1, as you can see, we had a couple of larger ones fall in the same quarter, and that led to the results here. So I don't think that there's any strong reason behind just being in Q1, it's just the natural ebb and flow and where things land in this particular quarter. So as we've reiterated in the comments we just made here, we would not expect that level to continue. And so the next quarter, we're still confident in the outlook for the full-year of greater than 60% growth, but we did have a strong Q1 in Clinical Solutions, and we're happy with that.
Matthew Larew: Okay. And then the last one would be, I think, on the last call. You talked about being comfortable with the capacity you had on hand and the ability to flex the 24/7 shifts, but obviously, Stephen you're alluding to continued very strong demand from customers and good to hear Hollister on track, but not coming online until the end of the year. So you feel comfortable with sort of your capacity and ability to meet customer demand with the time line expectations ahead of the being at the facility later this year.
Stephen Gunstream: Yes, that's correct. So the facility is still coming online at the end of the year, tracking really well to that in addition, adding these extra shifts and rolling out some of the new automation that we have right now, we're very comfortable with the guidance that we provided for the year to meet that demand.
Matthew Larew: Okay. That's great. Congrats on another strong quarter.
Stephen Gunstream: Thanks, Matt.
Matthew Larew: Thank you.
Operator: Thank you. Our next question comes from Max Masucci of Cowen. Your line is open.
Stephanie Yan: This is Stephanie on for Max. Thanks for taking my questions. And congrats on a great quarter. First one on your sales force. So have you made any additions to your commercial organization? Or have you added any new promotional efforts since coming public to call out this quarter? And as I'm looking at your growth trajectory over the next two years, how should we think about the growth being driven organically by your customers shift from soft to customized offerings and from RUO to GMP-grade products and the portion driven by outbound sales and marketing efforts?
Stephen Gunstream: Okay. Great, thanks, Stephanie. So first, on the sales force, yes, we continue to build out this commercial organization. In November, we hired our Chief Commercial Officer, Ken Gelhaus, and our Senior Vice President of Marketing, Jennifer Henry. They've begun to build out those organizations, and we've made a lot of progress, as you can see, the number of head count from December is up 15%. And many of those are actually in that commercial organization. We expect to have those teams in full function order by the end of this year to start driving and building up the demand for our new facility as it opens. So we're making really good progress there. Obviously, we're building from almost nothing to start with here. So it takes some time to ramp up. And of course, once we start onboarding customers, there is a bit of that migration, as you mentioned in your next question from stock to custom to GMP taking time to kind of go through that pipeline with those customers. On the outbound versus the migration, we actually see it one of the same. So we have a large set of accounts in the United States of over 3,000 active accounts, the vast majority of those are buying what we call catalog or stock products from us. And we are starting to see that shift towards the custom and then obviously, and you see it now in the Clinical Solutions aside when they move to GMP. A lot of those customers, the outbound work will be focused on migrating those customers since we're in almost every major account in the United States already. So hopefully, that answers and provides a little clarity there.
Stephanie Yan: Got it. That's helpful. Thanks for that color. And then focusing on your customer base, if you were to group your customer base by type, how would you describe the growth you're seeing from biotech, biopharma and CMOs/CDMOs, the tools and diagnostic companies. Is there -- is growth breaking out within any of these specific segments or subsegments of like biotech and biopharma?
Stephen Gunstream: Yes. So we take a look at that internally. We don't share those details, obviously, with the broader public. However, I will say there's not one particular sector that is driving the majority of the growth. We are seeing this across the board for the most part. And we do service, like you said, small mid-size biotech, CDMOs/CMOs, pharma, life science tools and molecular diagnostics, and we see strong underlying growth across the board.
Stephanie Yan: Got it. That's helpful. And one more for me. So you delivered a nice beat on the Clinical Solutions revenues versus our model this quarter. And I know you mentioned that you delivered some larger orders this quarter. Apologies if you commented on your prepared remarks, but do you have any visibility into additional large orders to come in the coming quarters?
Stephen Gunstream: Maybe I'll start, and Matt feel free to chime in. We have visibility from an annual basis. I think the challenge we have as the business, the size volume of some of the size of these orders are is really which part of -- whether they fall in -- which quarter they're actually fall in. Some customers are very specific about the time in which they want those delivered. And so from predicting from an exact quarter-to-quarter basis, it's kind of a lumpy business. But from an annual basis, we see a strong underlying flow and are confident in the guidance that we've provided.
Matthew Lowell: Yes. I'll just add on to that by saying, for us, as we mentioned about the Clinical Solutions business in the past, there is this spread of customer types within that. Some are early with us and still ordering in smaller quantities than the more mature customers that have been with us for a bit longer. And as Stephen said, on an annual basis, we know that that's going to smooth out. From a customer perspective, what we are focused on with Clinical Solutions is the number of customers, and we have seen an increase again in the number of active customers, particularly when compared to the trailing 12-months period, a year ago. So things are progressing there, but these -- the timing of these orders is difficult to predict for a number of reasons.
Stephanie Yan: Got it, understood. Congrats again and thanks for taking my questions.
Matthew Lowell: Thanks, Stephanie.
Operator: Thank you. [Operator Instructions] Our next question comes from Jacob Johnson of Stephens. Your line is open.
Jacob Johnson: Hey good afternoon guys and congrats on nice quarter. Just one more on these large orders. I mean, is that a sign or a positive signal that you have some customers moving their therapy, maybe through the clinical trial process? Is this some customers kind of platforming or onboarding onto your products? Is there any other color you can give as to kind of why you see these larger orders and if you don't want to comment, feel free to come in and stop there.
Stephen Gunstream: Thanks, thanks for that. But look, I do think it's very -- it's positive, right? We are seeing larger orders come through. And like we said, the quarter-to-quarter lumpiness can be challenging when we start predicting from a quarter perspective. But some of these are customers clearly moving down that pipeline and ordering from CMOs and things like that. So as we reported at the end of the calendar year, the migration of our total cell and gene therapy customers, right, not only has that gone up, but it's actually started migrating that pipeline from catalog accustomed to clinical. And I think we're going to refrain from giving a little bit of those metrics until we get to another annual basis for that.
Jacob Johnson: Okay. Perfect. And then just on Lab Essentials, kind of up modestly in the quarter, but you're still looking for a pretty robust growth in that segment for the year. Was this just a tough comp? Or maybe also just touch on kind of the visibility into revenue growth accelerating in that segment for the balance of the year?
Stephen Gunstream: Yes, I'd say it's a little bit of both, right, in that it is a tough comp from the previous year in some sense. But also remember that Lab Essentials includes the catalog products, which those average orders are in the thousands and the custom products, we're just starting to see those average orders in the hundreds of thousands, tens of hundreds of thousands. And that's the base that we're at from a revenue standpoint of around $7 million, a change in those has a pretty significant impact on the growth. But what we can say is when we look through the order flow and the demand that we're confident in the approximate 25% guidance we've given on Lab Essentials. So that underlying business is still looking good to us.
Jacob Johnson: Okay. And then just last question, just kind of a clarification. The credit facility expansion, I think you're pretty clear that this is for organic domestic investments. So fair to assume this will not be used for M&A? And then maybe I'll also just take your pulse on the outlook for M&A in the current environment?
Matthew Lowell: Yes, we're really pleased, of course, about the expansion of the credit facility, giving us access to additional capital. And that's right. This is intended for our domestic organic growth plan. That's not to say that we're completely stepping out of the possibility of M&A. We'll continue to evaluate opportunities as they may present themselves. And depending on where and what that is, we'll address the capital need for that at the time. But for us, since we have a strong organic growth opportunity, we want to make sure that we add the capital that we need to make sure that we can get this done regardless of economic conditions or anything else like that. So we're really happy to have concluded that with our lender.
Stephen Gunstream: And I'll just touch on the…
Jacob Johnson: Perfect, thanks for taking the questions. Sorry, Stephen.
Stephen Gunstream: I was going to touch on that in M&A front, Jacob. We're still interested, as Matt just mentioned, that we have a very strong organic plan that has to be a very good fit that matches our strategic initiatives, whether that be expansion globally or products that are adjacent that we can fit into the sort of investments and infrastructure that we're putting together here. So pretty selective there, but that doesn't mean that we've stopped looking.
Jacob Johnson: Got it, thanks for taking the questions.
Stephen Gunstream: Thanks, Jacob.
Operator: Thank you. And speakers, I do not see any more questions in the queue. This will conclude today's conference call. Thank you all for participating. You may now disconnect, and have a pleasant day.